Operator: Good morning. My name is Amy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Glatfelter’s Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. John Jacunski, you may begin your conference.
John P. Jacunski: Thank you, Amy. Good morning, and welcome to Glatfelter’s 2013 second quarter earnings conference call. This is John Jacunski. I’m the company’s CFO. Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP-based results is included in today’s earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2012 Form 10-K filed with the SEC and today’s release, both of which are available on our website disclosed factors that could cause our actual results to differ materially from these forward-looking statements. These forward-looking statements speak only as of today and we undertake no obligation to update them. And finally, we have made available a slide presentation accompanying our comments on this morning’s call. You may access the slides on our website or through this morning’s webcast provider. I will now turn the call over to Dante Parrini, Glatfelter’s Chairman and Chief Executive Officer.
Dante C. Parrini: Thank you, John. Good morning and thank you for joining us to discuss our second quarter. The second quarter was extremely important for Glatfelter as we continue to execute our strategy to expand our growth businesses of Composite Fibers and Advanced Airlaid Materials. During the quarter, we closed the Dresden Papier acquisition and successfully completed a capacity expansion in Germany. As you might recall, Dresden is a leading producer, supplying the growing nonwoven wallcover industry. And as I will discuss more in a few minutes, we’ve gotten off to a strong start with this new addition. We’ve also completed the preliminary purchase accounting and as a result of less depreciation and amortization expense than previously expected. We are increasing our estimate of earnings accretion to $0.45 to $0.50 per share on an annualized basis compared to our previous estimates of $0.25. Secondly, we completed the machine upgrade in Composite Fibers at the Gernsbach facility that will increase our inclined wire capacity by 20% and allow us to continue to meet the growing demand for our higher margin products in tea, single serve coffee, and technical specialties. This project was completed on time and on budget. These two important strategic steps provide us with the opportunity to continue our track record of solid earnings growth and cash flow generation. Now, turning to our results for the quarter; earlier this morning, we reported adjusted earnings of $5.1 million or $0.12 per share, which was in line with the second quarter of last year shown on Slide 3. Top line revenue was a record $426 million during the quarter, up 11% from last year. The inclusion of Dresden for two months this quarter accounted for $28 million or 7% of the overall increase. Excluding Dresden, net sales increased 4% with Composite Fibers and Advanced Airlaid Materials contributing 5% organic growth. We generated sold growth in our key markets, including tea, single serve coffee and feminine hygiene. Specialty Papers shipments again outperformed the broader uncoated free sheet market. Composite Fibers had a very good quarter with operating profit more than doubling to $16.4 million compared to last year. This was driven by a number of factors, including healthy top line growth, improved operating performance, and a strong start from the Dresden acquisition, delivering $5.5 million of operating profit for the two months we owned the facility despite the significant flood in June. Our Advanced Airlaid Materials business continued to make steady progress in the second quarter by focusing on innovation and operational excellence. This drove a 7% increase in sales and a 14% increase in operating profit compared to a year ago, and it marks the best quarterly profit since our acquisition in 2010. These improvements from our fiber-based engineered materials businesses were offset somewhat by a difficult quarter in Specialty Papers. Despite healthy increases in shipping volumes, operating income for this business declined $8 million in the year-over-year comparison. This was driven by weaker selling prices, higher costs for our annual maintenance outages, and unexpected operating disruptions. We have largely addressed the issues faced in the second quarter and we’re focused on improving our operating performance in the third quarter. I’ll now turn it over to John for a more in-depth review of our second quarter results, and then I will offer some additional perspectives on our outlook for the third quarter. John?
John P. Jacunski: Thanks, Dante. For the second quarter, we reported adjusted earnings of $5.1 million or $0.12 per share after adjusting to exclude acquisition and integration costs and costs related to our international restructuring as shown in this morning’s release. These results compared to $5.3 million or $0.12 per share last year. Slide 4 shows the bridge of adjusted earnings per share from the second quarter of last year to this year. Our results were impacted by disappointing quarter from Specialty Papers, which reduced earnings by $0.14 per share. On the other hand improved earnings from Composite Fibers added $0.14 per share, which includes the Dresden acquisition for two months. Net of interest costs to Dresden acquisition was $0.08 accretive to earnings during the second quarter and we had a solid quarter from Advanced Airlaid Materials that added $0.01 earnings per share. Slide 5, provides a summary of Specialty Papers performance during the quarter. Net sales increased 1.3% or $2.9 million driven by a 4.7% increase in shipments. This continues our track record of outperforming the broader uncoated freesheet market, which was down 3%. We then had good growth in shipments envelope and non-carbonless & forms products, which were up 7.9% and 8.4% respectively and book publishing products which were up 4.4%. This offset declines in carbonless and engineered products. Shipments of carbonless products were down only 1% much better than the market decline, while engineered products was down 6.9%. Average selling prices for the quarter were up $3.5 million or approximately 2% compared to last year. This was driven by book, envelope, and forms products offset somewhat by higher prices in carbonless and engineered products. Despite the improved top line figures, operating income for Specialty Papers was down $8.1 million in the year-over-year comparison. As you know, during the second quarter, we completed annual maintenance outages at both Specialty Papers mills. The cost of the outages this year totaled $21.7 million, an increase of $1.8 million over last year. This reflects an expanded scope of work at our Spring Grove facility that required our pulp mill to be out of service for a longer period of time. We also incurred a typical number of operating disruptions that affected boiler operations, pulp production, and paper machine efficiency, which negatively impacted the quarter’s results by $3.6 million. Slide 6 summarizes a very good quarter for Composite Fibers. This business is now fully recovered from the slow fourth quarter in 2012 and is building momentum for the second half of 2013. Revenue increased 31% to $143 million, this includes the two-month impact of the Dresden acquisition and organic growth of 5%. Shipments increased 1.4% compared to the second quarter of last year, excluding the Dresden acquisition and we have a strong mix. Food & Beverage shipments increased 9% led by single serve coffee shipments that increased 23%, and shipments of technical specialties increased 12%. Composite laminate shipments were down 9% reflecting the impact of machine upgrade and metallized products shipments were down 5% due to the strong demand in the year-ago quarter related to the European Soccer Championships and the Summer Olympics. Operating profit for the business increased $8.5 million or 108% compared to the year-ago quarter and margins expanded by over 400 basis points. The newly acquired Dresden operation performed very well, contributing $5.5 million to operating income and exceeding our expectations due to lower depreciation and amortization expense. There was also significant rainfall that caused flooding at the Dresden mill in June. The management team has a comprehensive flood mitigation plan and was executed extraordinarily well. So while the flood required us to idle the operation for five days costing nearly $800,000 from the downtime, there was no significant damage to the facility. Excluding the Dresden acquisition, operating income improved $3 million or 38% driven by higher selling prices and stronger mix. During the quarter, we also completed a machine upgrade at our Gernsbach, Germany facility that expands our in-time work capacity by 20%. As expected, the downtime associated with this upgrade reduced operating profit by $1.5 million during the quarter. However, improved operating performance in the business offset this cost impact. With respect to the machine upgrade, we continue to ramp up and fine tuning of the machine, but we do not expect any significant cost impact going forward. We have qualified most of our key products with customers and we’re working on qualifying a number of technical specialties grades. We’ll then move to our coffee products. This upgrade is going very well and provides us with the additional capacity we need to continue meeting the growing market demand for tea, coffee and technical specialty products. Moving to Slide 7, Advanced Airlaid Materials delivered another good quarter. Net sales on a constant currency basis were up 6.2% to $66 million and shipping volume increased 4.3% driven by feminine hygiene. Selling prices were up slightly, however, we did see higher input costs primarily for super absorbent powders with most other raw materials prices flat to slightly down. Overall, operating income for this business increased to $5.2 million, up 13.6% and operating margins improved by 50 basis points. This was driven by higher shipping volumes and favorable foreign currency translation. During the quarter, we increased maintenance spending to improve machine reliability to allow us to increase throughput. This combined with general cost inflation negatively impacted the quarterly results by $800,000. Slide 8, shows corporate costs and other financial items for the quarter. During the quarter, we incurred $4.8 million of acquisition and integration costs on a pre-tax basis or $4 million after-tax. We expect to incur additional acquisition and integration costs related to the – to Dresden of approximately $1 million after-tax, with about half of this coming in the third quarter. When looking at total corporate costs for the quarter, they decreased slightly compared to a year ago. The status of our pension plan is shown on Slide 9. Pension expense increased to $600,000 in the second quarter of 2013 compared to the same quarter last year largely due to the impact of lower discount rates. However, our plan remains over funded and we’ve not had to make cash contributions to our qualified plan in a very long time, and do not expect to for the foreseeable future. Slide 10 shows our free cash flow. Adjusted free cash flow for the quarter improved to $13.9 million compared with $5 million in the second quarter of 2012, reflecting better working capital utilization. Capital expenditures totaled $60.8 million in the first half of 2013, including $25.6 million related to the capacity expansion project for Composite Fibers. For the full-year, we expect CapEx to be approximately $100 million to $105 million. As is typical for our business, we expect significantly better cash flow in the second half of 2013, and we expect free cash flow for 2013 to improve compared to 2012.
 : We finished the quarter with $45 million of cash and $218 million available under the revolving credit facility. Our leverage on a net debt basis was 2.3 times at June 30, and pro forma to include a full-year Dresden, our leverage was 1.9 times. So even after the acquisition, we have ample liquidity and our balance sheet remains strong. This concludes my comments. I’ll turn the call back to Dante.
Dante C. Parrini: Thanks, John. Before opening the call for your questions, I have a few comments on our outlook for the third quarter, which was summarized on Slide 12. In Specialty Papers, we expect shipments to be slightly higher in the third quarter and overall selling prices and input costs are expected to be in line with the second quarter levels. Before factoring in the impact of Dresden Composite Fibers, shipments are expected to be slightly higher on a sequential quarter basis, with a more favorable mix and selling prices are expected to be generally in line with the second quarter, while input costs are likely to increase slightly. We will complete an annual maintenance outage at the Dresden facility, which is estimated to negatively impact operating profit by approximately $2 million pre-tax. And in Advanced Airlaid Materials, shipping volumes and selling prices are expected to be generally in line with the second quarter of 2013 and input costs are expected to decline slightly. So to wrap up, I believe our strategy is working. Our more consistent cash flow profile is enabling us to reward shareholders with a competitive dividend, share repurchases, and ongoing investments in the business.
. : At this point, I would like to open the call for your questions.
Operator: (Operator Instructions) Your first question comes from the line of James Armstrong from Vertical Research. Your line is open.
James Armstrong – Vertical Research Partners: Good morning.
Dante C. Parrini: Good morning, James.
John P. Jacunski: Hi, James.
James Armstrong – Vertical Research Partners: Hey, just a few quick ones, with the Dresden up and running, what’s your boiler plate capacity in the Composite Fibers segment at this point in time?
Dante C. Parrini: For the whole segment, I would say, Dresden is about 60,000 metric tons and the Composite Fibers is around 90,000 metric tons.
James Armstrong – Vertical Research Partners: Okay, just a good update. And then, look, switching to Specialty Papers, is there any area within Specialty Papers that was particularly weak, I’m referring more to the selling price versus the operational issues in the segment?
Dante C. Parrini: Well, again selling prices – the declines were really across envelope, book, and the non-carbonless and forms products. As I mentioned we did have some increases in carbonless and our engineered products that somewhat offset some of that impact, but still overall selling prices were down $3.5 million, which is about 2%. So there was not one segment stronger or down more than others between envelope, book, and forms that was about equal.
James Armstrong – Vertical Research Partners: Okay, fair enough. And then lastly, could you give us a few details on the operational issues in Specialty Paper, was it one or two things that really stood out or was it just, little things here and there?
John P. Jacunski: We had a several operating issues that are a little bit unusual. There wasn’t one particular thing, there were four or five, some of which, for instance, the most significant one was a – relate to a wear plate that fell from the inside of our hardwood blow tank in our pulp operation. That doesn’t happen very often, as a matter of fact I talked to the business. Most of those operators have never seen an issue like that. It’s a very difficult area to access inside this tank. So we had to take the hardwood side in the pulp mill down for seven days. So that significantly increased the purchase pulp usage we had and we had the maintenance cost. And so that one item impacted us by about $1.5 million during the quarter. And then we have some other just sort of nagging issues that were a typical of our operation.
Dante C. Parrini: And John, one thing I would say that, I would not categorize on that systemic or kind of connected. We just had the convergence of more than one issue crop up at the same time and the timing of the excursions coincident with our Q2 outage made it more challenging for the business to mitigate the effects during the same period.
James Armstrong – Vertical Research Partners: Fair enough. Thank you very much.
Dante C. Parrini: Yep. 
Operator: And your next question comes from the line of Steve Chercover. Your line is open.
Steve Chercover – D.A. Davidson: Hi, Dante. Hi, John.
Dante C. Parrini: Hi, Steve.
John P. Jacunski: Hi, Steve.
Steve Chercover – D.A. Davidson: Just a couple of quick ones please. First of all in Specialty, you said that Q2 was, I guess a typically extensive. So might next year’s be a little bit less expensive or impactful, notwithstanding the operational issues?
John P. Jacunski: Yeah. So the comment that I made regarding a typical was really related to some of the operating disruptions, not specific to the annual maintenance outages that we had. I don’t know exactly what the scope of the 2014 annual maintenance outages will be. This year’s scope was a little bit broader, particularly the Specialty Papers and it required us to take the pulp mill down for a little bit longer period of time. And that increased the cost versus a year ago. So I’m not prepared to give you an estimate of what next year will be like. But certainly, the operating issues outside of the maintenance outages that we had, I mentioned impacted us by about $3.6 million during the quarter. We haven’t seen those kinds of issues in pervious quarters, and as Dante said, we don’t believe it’s anything systemic and we think they’re largely resolved.
Steve Chercover – D.A. Davidson: All right. So I mean just keep budgeting $20 million or so for the spring maintenances kind of a good housekeeping practice…
John P. Jacunski: Yeah.
Steve Chercover – D.A. Davidson: Sorry, go ahead.
John P. Jacunski: No, I think that’s a reasonable approach.
Steve Chercover – D.A. Davidson: Okay. And can you maybe discuss the seasonality in the business and beyond, of course, the Q2 maintenance and how Dresden might impact that?
Dante C. Parrini: Well, the seasonality is a little bit different by business units. Steve, this is Dante. So if I think about Specialty Papers, once we get through the July timeframe, we start to see some seasonal pickup across a lot of the different categories within Specialty Papers, which is whey we feel confident giving the guidance for the – outlook for Q3 that we provided. And same goes with Composite Fibers, as we enter the late summer fall, that’s typically a stronger season for food and beverage products and the completion of the G10 we build is good timing to support, ongoing growth of those key product categories. And then with the Dresden impact, I would say that we based on historical data we have reviewed in the conversations we’ve had with management, there is not as pronounced of a seasonal variation quarter-to-quarter. There could be somethings that are peculiar to certain jurisdictions, where we ship a lot of products, whether there maybe holidays in Russia and Ukraine that will affect a particular month or a quarter. But I think the expectation is pretty predictable and consistent performance out of Dresden. And again, as we had communicated earlier today, accretion targets are now $0.45 to $0.50 for that part of the business. And then the last part AMBU the Airlaid business, we do have some major customers that have a fiscal year end in the middle of the calendar year. So sometimes you’ll see some – a little bit of volatility in June and July timeframe. But again, we think, we have a pretty good purview on that market conditions, and if you look at the revenue up 6.2% and the volume up 4.3% for that business in Q2 year-over-year, I think it bodes pretty favorably for our outlook for the second half of the year as well.
Steve Chercover – D.A. Davidson: Excellent. And last question, since I don’t get over to Europe very often, I just thought maybe you could give us your perspective of what you’re seeing given the fact you got operations there?
Dante C. Parrini: Sure. I would categorize the markets are still soft and fragile. I know that some companies have reported that they are seeing some level of modest improvement, although we have not seen this yet in our businesses. However, our exposure to consumer staple helps these products and they tend to be less volatile throughout the entire business cycle. So, I think we have a pretty clear view as to what we need to do to continue to operate successfully in this environment. And we’re not expecting a major uplift from a European economic recovery in the near-term nor do we see, any significant downside other than what we’ve already communicated. So I think we have a level of confidence that we’ll continue to see growth for Glatfelter’s European businesses in the second half.
Steve Chercover – D.A. Davidson: Very good. Many thanks.
Dante C. Parrini: Yep.
Operator: (Operator Instructions) Your next question comes from Mark Wilde of Deutsche Bank. Your line is now open.
Mark Wilde – Deutsche Bank: Good morning, Dante. Good morning, John.
Dante C. Parrini: Good morning, Mark.
John P. Jacunski: Hi, Mark.
Mark Wilde – Deutsche Bank: John, first question, just a little color on the change in kind of deprecation at Dresden, can you give us a little background?
John Jacunski: Sure. Since we signed the definitive agreement and then closed, we have the opportunity to go through the accounting process of doing a purchase price allocation, and that’s preliminarily done and we have significant amounts of goodwill. So we have about $76 million of goodwill that is not amortizable. So when we prepared our initial estimates for the accretion, our assumption was that there will be very little goodwill and it turns out there is much more significant. So essentially, the lower amortization expense from that $76 million of goodwill is part of purchase price increases our accretion estimates.
Mark Wilde – Deutsche Bank: Okay. The second question, I guess for Dante. I know that (inaudible) is the Head of the Specialty Papers business in the second quarter, and I wondered if you could just give us a report on kind of finding a new Head for that business?
Dante C. Parrini: Sure. So first, I’ll say that we’re very fortunate to have a very experienced and capable leadership team throughout Specialty Papers. And so the two division Vice President’s have more than 50 years experience with Glatfelter and our engineers have advanced degrees in Paper Science technology. So we are very confident than strength. The recruiting process is on going, I would categorize it as being a very constructive, and I hope to be in a position to provide more clarity within the coming weeks in terms of a permanent leader of SPBU.
Mark Wilde – Deutsche Bank: Okay. And then finally, Dante, maybe Dante and John, can you just give us some thoughts – kind of current thoughts on your ability to pursue more growth right now. I mean, I think when we have talked about this three or four months ago, we were talking about the rebuild going out of Gernsbach just trying to incorporate Dresden. And Dante, I think your response at that the time as, “we’re not a large company, so we have to be a little careful about how much we try to tackle at any one time. What would your thoughts be right now? 
Dante C. Parrini: Yeah. So I would say from a guiding principal point of view the answer doesn’t change. We want to be very pragmatic about our appetite for major initiatives at the same time and be thoughtful about the resources and the capacity that we have in execution risk. With that being said, we’ve ticked some of the boxes of some of our major initiative. So getting the G10 rebuild done on time, on budget and getting the ramp up according to plan. We still have a punch list of kind of refinement and optimization items. But in large part, we’ve done that successfully, and I think it demonstrates our ability to leverage our deep subject matter expertise in inclined wire paper making technology. And then when it comes to Dresden, if acquisitions are not easy and early integration and startups aren’t always easy. So we wanted to place a lot of energy and emphasis on working with our new colleagues in Dresden to make sure that we supported them and their ability to stay focused on running the business and making high quality products and keeping customers happy. And then 37 days after closing we have 100-year floods in the region. And just to reiterate what John said, the team did an outstanding job and they really demonstrated a lot of professionalism and great judgment in terms of how they manage that entire process. And so it just reaffirmed the confidence we have in that team to execute, and we have some of the legacy CFBU leadership that have been assigned to work with our colleagues in Dresden and have relocated to the area. So we feel very good about the strong early performance and the outlook for Dresden. So, our balance sheet is in good shape as John said. And we stopped some issues to turn to in terms of improving the overall operating performance of the company. But we do have capacity to focus on other value creating projects to the extent that we can identify projects that have a return profile that meets our objectives and where we think executional risk is manageable. At the same time I personally don’t feel any pressure to rush and do anything of any significance, because as you saw on Q2, we’re getting a substantial amount of organic growth out of Composite Fibers and the Airlaid business. And we’re just coming off of substantial investments in machinery build and acquisition. So I think the short answer is, I think we’re in very good position to stay open minded about a variety of different opportunities for us to continue to execute our strategy and find thoughtful ways for us to continue to build sustainable value over time.
Mark Wilde – Deutsche Bank: Yeah. And Dante, if I just if I could on that, away from acquisitions, I mean, it does seem that at some point there might be an opportunity for you to take the Airlaid business more global what it is right now, it’s in Europe, it’s in North America. Any thoughts on just the timing for that? Is there enough critical mass in terms of market demand if we look at Asia or Latin America, or you be thinking about that right now?
Dante C. Parrini: Yeah. So I’ll stay more at the 50,000 foot level.
Mark Wilde – Deutsche Bank: Yeah, that’s fine.
Dante C. Parrini: Globalization is one of their core drivers of our growth strategy. So those are things that we’re thinking about 365 days a year. And we’re assessing opportunities for all parts of Glatfelter always. When we find the right point in time where we see that there is an opportunity and there is a convergence of market demand, customer support, and our return profile, and the execution risk profile that we’re comfortable with then you’ll hear more from us on some next steps. But in terms of a specific timeline or specific targets or specific regions of the world, I’m not prepared to give anymore granular details on what I’ve just shared with you.
Mark Wilde – Deutsche Bank: Okay, that’s fine. Wishing good luck in the next couple of quarters and into next year.
Dante C. Parrini: Thank you.
John P. Jacunski: Thanks, Mark.
Operator: (Operator Instructions) 
Dante C. Parrini: Okay. Well, thank you very much for your time today. We’ll look forward to speaking with you again next quarter. Have a good day.